Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Billtrust's Second Quarter 2022 Earnings Conference Call. As a reminder this conference call is being recorded. I'd now like to turn the call over to John T. Williams, Head of Investor Relations, to begin.
John Williams: Thank you, operator. Before we begin, I'll remind you that today's call may contain forward-looking statements, including our full year 2022 outlook, the duration of the secular tailwinds, our expectations regarding the underlying trends in our business and our expectations and assumptions regarding our medium and long-term targets. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our most recent annual report on Form 10-K for the fiscal year ended December 31, 2021, filed with the Securities and Exchange Commission on March 9, 2022, and in subsequent reports that we file with the Securities and Exchange Commission from time to time, that are available on the Investor Relations section of our website, including our quarterly report on Form 10-Q for the quarter ended June 30, 2022. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today, and the company does not assume any obligation or intend to update them except as required by law. In addition, today's call may include non-GAAP measures. These measures should be considered as a supplement to and not a substitute for GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today's earnings release, which is available on our website. Hosting today's call are Flint Lane, Billtrust's Founder and Chief Executive Officer; and Mark Shifke, Billtrust's Chief Financial Officer. I'll now turn the call over to Flint to begin.
Flint Lane: Thanks, John. And thank you everyone for joining the call today. I'm excited to share with you our results for the second quarter, which once again show incredible momentum across our business. Before I do, I want to say just how proud I am of our amazing and talented Billtrust's team. They've stayed laser-focused on meeting our customers' needs and growing the business in a very challenging macro-environment. The unique Billtrust culture and values don't show up on our financial statements, but are a key part of Billtrust's success over the last 2 decades. I'd like to start with some operational metrics and then I'll cover some recent business highlights. Our CFO, Mark Shifke, then will provide details on our performance and updated 2022 guidance. I couldn't be happier about our Q2 performance, and I'm excited to report that we continue to execute against our plan and outperform relative to internal and external expectations. Despite the reported macroeconomic and market challenges, the favorable secular trends around digitization and B2B payments are strong. Software and Payments segment growth of 35.4% year-over-year was incredibly strong and drove highly profitable adjusted gross margins of 74.1%, up 241 basis points year-over-year. Our total payment volume or TPV, which is the dollar value of customer payment transactions that we process on our platform, increased 40% year-over-year to $26.2 billion versus $18.8 billion in the year ago quarter. TPV through the Business Payments Network or BPN TPV, increased 71% year-over-year in Q2 against a tough prior year comparison. BPN Card TPV grew $2.4 billion in Q2, up 38% year-over-year, while BPN ACH growth continued to ramp higher to $1.1 billion, a smaller contributor, but it more than tripled year-over-year. Direct card revenue or DCR, which is the revenue we generate from processing credit card payments through all of our solutions was $5.8 million or 57% year-over-year growth and a quarterly yield of 6.6 basis points. We are very happy with how our payments business is progressing with direct card revenue growth once again exceeding card volume growth and we still expect yield will grow into the teens over the long-term, helped by transaction growth on our PayFac and our new surcharging solutions. Now let's cover some observations and recent business highlights. I've said before that in difficult economic environments, we believe CFOs are naturally more aggressive in seeking out ways to increase efficiencies, reduce complexity and accelerate cash flow. All challenges that are solved by our software and payment solutions, and we see this every day as our customers look to us for new ideas. In June, we were thrilled to host our annual Billtrust Insight event, where Billtrust customers and partners could interact and learn how to maximize the value of Billtrust solutions. We discussed actionable ideas across the whole AR spectrum, including best practices of AR automation, trends shaping the future of the CFO office and the impact of virtual cards on our customers' day-to-day operations. We also announced a new version of our popular online billing portal that makes it incredibly easy for our suppliers to accept credit cards without directly incurring card fees through something called surcharging. Roughly half of our online billing customers don't accept credit cards today, and we believe this is a big opportunity. We have some customers live already and are landing new deals with this innovative approach to card acceptance. We covered a lot at Insight, and I encourage you to visit our website and watch the session replays. They'll show you how we're delivering innovation and why our customers are so happy with what we provide. Also in June, we hosted our first virtual investor session where members of our senior leadership team spent an afternoon doing a deep dive into each of their areas of expertise. In addition, our President, Steve Pinado, interviewed John Schoenberger, SVP of Finance at Sunbelt Rentals. They discussed the difficulties placed on AR organizations by the acceleration of AP solutions and how the Billtrust solutions help streamline their operation. Finally, we provided some updated guidance on our path to profitability, which has been an area of investor interest over the last 6-months and a topic Mark will address in his prepared remarks. I'd now like to update you on our great sales performance. To provide context, we had our highest sales booking quarter ever in the fourth quarter of 2021. Then in the first quarter of this year, we signed the most new customers ever. And in this last quarter, we broke both those records with the most bookings and the most new customers signed in a quarter. Contributing to this great momentum our wins on our new collections platform acquired as part of the iController acquisition. Now let me share a few customer-specific stories. Our relationship with US LBM is a great example of our relentless focus on driving customer success. US LBM is the largest privately owned distributor of specialty building materials in the United States, a high-growth company with more than 400 operating locations nationwide. They've acquired several existing Billtrust customers over the years. As a result, we recently partnered to deliver credit, invoicing, payments and Invoice Connect across their entire enterprise. These existing relationships allowed their leadership to clearly see the benefits of working with Billtrust and how we align with them to drive success. Another customer that has seen clear benefits from Billtrust is Malin, a Raymond company and a leading material handling equipment distributor. A happy and growing business payments network customer, Malin's Finance Manager, Eddy Harless, told us during a Billtrust insight session in June about his company's success in now being able to automatically invoice into accounts payable portals through BPN. Eddy told us that the term AP Portal Fatigue is an understatement, and we know it's a major issue for back-office AR teams to manually input invoices into customers' AP portals like Coupa or Ariba. He also told us that the number of Malin customers using portals is growing every single week, but it's no longer something they stress about or even think about. Invoice delivery through BPN helped Eddy and his team overcome the struggle to support their customers' diverse invoice delivery and payment requirements. And thanks to Billtrust, no one on his team is doing manual invoice entry. We've also made great strides on the partner front, and our recent partnership with Procede Software, makers of a heavy-duty truck and commercial vehicle dealer management system, is a powerful example of how our solutions can integrate with other systems to maximize supplier electronic payments. Billtrust Software is now integrated with Excede, Procede's dealer management software and offers their customers a complete solution for automated electronic invoicing and digital payments as well as our access to our business payments network, enabling them to avoid the labor and expense of manually keying invoice data and giving the ability to accept payments through their preferred channels. One of the big growth areas for Billtrust is the Business Payments Network or BPN. I'd like to take a few minutes to discuss why it's a core part of our strategy. First, BPN is a truly open network and our impressive roster of partners, including Visa, JPMorgan Chase, Coupa, American Express and over 30 others, coupled with our position as the only open B2B payments network that publishes volume and growth rates is clear evidence of our leadership position versus our competition. Second, we believe that digital lockbox will be a must-have for any AR department, much like online billing sites are. The BPN digital lockbox automates the receipts of ACH, credit card and wire transfer payments and also provides for delivery of invoices into over 150 different AP portals. We've seen huge interest here from our customers, banks and the card brands. Ultimately we believe our competitive advantage with BPN comes from our origins in the accounts receivable space, our understanding of it and our set of capabilities developed over the last 20-plus years around how to solve for supplier pain points, particularly the acceptance of electronic payment methods. Acceptance or the supplier side of the transaction represents a significant barrier to the digitization of B2B payments, and we believe we have all the tools to overcome this barrier and are, in fact, solving for it over and over again as evidenced by our growth and collaboration with world-class partners. We were first to market, we were born from the supplier side, and we made the decision to open up our capabilities to partners from the beginning. All of these factors have been the key ingredients to our success, which we expect to only continue into the future in a market in which B2B opportunity remains incredibly large. We're all -- we are very excited about the rest of the year and beyond and have a strong supplier and partner pipeline. We also remain very focused on profitable growth, expanding gross margins and driving cash flow and are equally committed to managing expenses and protecting our strong balance sheet as we aim to meet or exceed the profitability timing that we recently laid out. A key theme that I often point back to on earnings and investor calls is that we continue to do the things we said we'd do. Given the current macroeconomic environment, that's been a challenge for many. I'd like to reiterate the strength of our position. We have a solid balance sheet, zero debt, accelerating growth, and we believe we are well positioned to win because we have the best solutions that are designed to consistently deliver great outcomes for our customers. Our Automation and Digitization solutions seek to address the urgent problems that CFOs and back offices are currently facing like high labor costs, rising interest rates, supply chain challenges, market volatility and work from anywhere trends. Simply put, we believe we are ideally positioned to deliver what so many businesses need, and we expect these large secular tailwinds will persist for some time. We have been and will continue to be aggressive and take advantage of these opportunities. With that, I'll hand it over to our CFO, Mark Shifke, to discuss our second quarter results and updated financial outlook.
Mark Shifke: Thanks, Flint, and good afternoon, everyone. As Flint noted, we're very pleased with our strong Q2 results. On a year-over-year basis, net revenue grew 28.5%. Software and Payments segment revenue grew 35.4% and adjusted gross profit grew 32.9%, reflecting an adjusted gross margin of 74.1%, which is a 241 basis point expansion versus Q2 2021. Our highly profitable Software and Payments segment was again the major driver of margin expansion with 85% segment gross margins in the quarter. We'd like to note that during the quarter, movement in the euro relative to the dollar represented an approximately $250,000 headwind compared to our original forecast. On an organic basis, net revenue in the quarter was $36.9 million, a year-over-year increase of 16.9% from the year ago period. Software and Payments revenue was $30.5 million, a year-over-year increase of 24% and adjusted gross profit was $27.8 million, a year-over-year increase of 22.6%. Strong net dollar retention and growth in card TPV and direct card revenue were again key contributors to our strong performance. As expected, Q2 print revenue declined 3.5% to $4.3 million as print volumes continue their shift to digital. Nevertheless our print gross margins continue to expand year-over-year as we create greater operational efficiency and manage costs closely in this declining revenue segment. Services and other revenue was $3 million, up 18.6% year-over-year. Adjusted EBITDA was a loss of $4.2 million versus a loss of $3 million in 2Q 2021, and modestly better than our expectations. Excluding stock-based comp and other add-backs to adjusted EBITDA, operating expenses were $34.3 million, up 34% year-over-year and in line with our expectations. The year-over-year increase reflects the first full quarter of the conclusion of our European operations and the impact of second half hires last year. We continue to expect lower adjusted EBITDA losses in the second half relative to the first half of the year as we position ourselves to become adjusted EBITDA positive over the course of next year, which I'll discuss in further detail shortly. Excluding stock-based comp and other add-backs to adjusted EBITDA, research and development expenses were $14.1 million versus $10.1 million in the prior year period, driven by product development labor costs and incremental European R&D expenses that were not in our results last year. Sales and marketing expenses were $10.7 million versus $8.8 million in the prior year period, primarily due to additional investments in direct sales and channel distribution efforts. We are very pleased with the results of these investments where we continue to maintain greater than 6:1 LTV attack and continue to grow highly profitable software and payments revenue. General and administrative expenses were $9.5 million versus $6.7 million in Q2 2021, with most of that increase attributable to supporting our international expansion. We ended the quarter with $148 million in cash and equivalents and short-term marketable securities on our balance sheet and no debt. Our share count at quarter end was 164 million basic shares and 171 million fully diluted shares, including RSUs and all estimated current potentially issuable common shares tied to in-the-money employee options. Now on to our full year 2022 guidance. We are raising the lower end of the guidance range of each of our net revenue at our Software and Payments segment revenue by $1 million. We now expect 2022 net revenue of $166 million to $171 million or $168.5 million at the midpoint. And Software and Payments segment revenue of $134 million to $139 million or $136.5 million at the midpoint. Our adjusted gross margin in Q2 exceeded our expectations, and we now believe that our performance should be sustainable for the remainder of the year. Our new projected full year adjusted gross margin range is 73.7% to 74.1% or 73.9% at the midpoint. We now expect adjusted gross profit of $122.5 million to $126.5 million or $124.5 million at the midpoint. We plan to reinvest that excess profitability into the business this year and continue to expect adjusted EBITDA of negative $14 million to negative $16 million or negative $15 million at the midpoint. And updating our guidance, we are balancing our belief that the underlying trends in our business will remain strong throughout the remainder of the year, with a recognition that we are operating in a highly volatile global macro environment. In addition, while our European operations are doing well on a constant currency basis, we are factoring in a remainder of the year $700,000 to $1 million foreign currency headwind to our revenue. As for our medium and long-term outlooks, we now expect to be free cash flow positive for full year 2023. And as recently updated in June, we also expect to be adjusted EBITDA positive sometime during the second or third quarter of 2023 and adjusted EBITDA positive for the full year 2024. These targets, of course, exclude the impact of any future M&A and assume no major macroeconomic disruptions that might cause us to reevaluate our strategy or spending. As Flint said earlier, we believe Billtrust could not be in a better position than we are today, and we'll continue to be focused and disciplined as we drive results over the remainder of the year and beyond. Thanks again for joining the call, and we're happy to answer your questions.
Operator: [Operator Instructions] The first question is from Bob Napoli from William Blair.
Bob Napoli: So just a question, Flint, you said that this quarter was the largest bookings quarter and the largest number of new customers added. Can you maybe give a little more color on the momentum in sales and what has been driving the momentum? And do you see that -- do you have visibility on that continuing into '23? Has there been any macro hit to the momentum there?
Flint Lane: Yes, sure. Thanks, Bob, for the question. I think there's a variety of things that are coming into play here. Certainly there is increased focus on automating the office of the CFO, right? The CFO's organization is under a lot of pressure related to cost, and we have a variety of solutions that helped there. Second, we have talked a lot over the last 2 years about our increased emphasis on sales and marketing and spending there. Third is just purely execution. Our team is doing really well. We've got some great people who know how to scale and that is manifesting itself in a lot of sales success. Certainly we don't think that this is ending anytime soon. We're getting modest contributions from partner channel, which we've shared in the past, we think, will be a big contributor in the future. And with the total addressable market that we're going after, there's plenty of room for us to grow.
Bob Napoli: And then just on the direct card revenue, some pretty good momentum on software and payments in a direct card revenue. Is that what is primarily driving your confidence that, that high margin is our high-margin products in turning profitable in the timeline that you suggested? And also the confidence in your long-term operating model, the -- so any -- just any commentary around confidence from long-term operating model, direct card revenue, software and payments driving. Is that what's driving the visibility to your turning profitable?
Mark Shifke: It's a few things at play. We were on a trajectory already. I mean our business model was to be adjusted EBITDA positive. This is not a change in direction for us. We are accelerating a little bit the timeframe in which we want to achieve that. What we're seeing in terms of visibility is not just the direct card revenue, but the incredible strength of our software platform. So it is a great -- it's great to have a platform with that integrated capability of leading with either software or payments and then letting the other one come along as part of that land and expand relationship. So the direct card revenue continues to grow at a great pace. TPV continues to grow at a great pace. We haven't seen anything changing that trajectory. And then software seems to be doing fantastic. And as Flint said, we're in an environment where CFOs like myself, are looking for opportunities for greater efficiency, lower cost, and that's exactly playing to our strength. So it really is that combination. And getting to where we want to get to, it was really moderating some of the expenditures that we were having that had perhaps a longer-term payback. And we're focusing more on more immediate 1 to 2-year horizon, not necessarily 3 and beyond. And that is what we're doing. We're not -- we don't have to get rid of employees, colleagues. We have a great growth platform, and we're just managing the growth of our expense.
Operator: The next question is from Tien-Tsin Huang from JPMorgan.
Tien-Tsin Huang: Good results here, especially on gross profit, gross margin. And I think you've been pretty bullish here in your commentary, you've had -- like I was talking about of momentum from a bookings and a new sales perspective. And I hear the caution as well, you recognize the macro. So I'm just trying to think about how you're weighing all of those things as you adjust your outlook. It looks like you raised the bottom end on some of the items, but I'm curious just your confidence level here and sort of keeping that momentum going versus conservatism? Or are you banking a lot of this upside and reinvesting to ensure getting to those earlier profitability targets? Just trying to read between the lines and understand the outlook a little bit better, if that makes sense.
Flint Lane: Thanks, Tien-Tsin. I think we have tried as a public company to share with investors what we think is going to happen and then more importantly, go do that. As the years progress, we like to tighten the range and give more certainty because we have a good sense of what's going on in our world, and we can be pretty predictive there. When things like FX come into play and we don't have a good predictor on that, we can be less certain about those guidance, but we've factored in what kind of FX headwinds we could get and still raised our guidance. So without the effects of FX, perhaps we would have been more bold, but there's some uncertainty there. What is in our control is our execution, and that starts with making sure we're investing in our solutions, making sure we're invested in our go-to-market strategy and then consistently delivering on sales success and financial results. So we have proven over the 1.5 years or so of being a public company that we have accelerated our growth, increased our profit margins, demonstrated a path to profitability and just announced next year will be cash flow positive. So I think this is what we want as a business, and I think investors will appreciate that as well.
Tien-Tsin Huang: And then just my quick follow-up. I guess I have to ask you about consolidation. We've seen some consolidation in the sector, a lot of press around consolidation as well. I know you've done a few acquisitions yourselves. So I'm just curious, just updated thinking around consolidation as a theme here for one.
Flint Lane: Yes. We're looking at acquisitions is a big part of our strategy long term. As you know, we have done 2 acquisitions in the last 8 or 9 months, and those are going well. Private valuations have started to come down along with their public comps. So we are looking at a lot of different things, and we think averaging 1 to 2 deals a year is something that we want to focus on, but we want to do the right deals, not just doing deals for the sake of doing deals.
Operator: The next question is from Andrew Schmidt from Citi.
Andrew Schmidt: I want to dig into the sales momentum here. It seems like to me that there's clearly a step up in terms of opportunities here just because you have pretty significantly enhance your distribution. Maybe you can comment on that. And then, I guess the corollary, have your win rates also correspondingly stepped up as you reinvest in the platform, add more modules, things like that. Just any you can give us in terms of breadth of opportunities you see versus win rates. Any color there would be helpful.
Flint Lane: We don't publicly share what our win rates are. We do track that internally. Sometimes that can be misleading. If you're looking at opportunities that are not in what we call our target customer profile, like we're not going after a new B2C business, for instance, but there's just opportunities do present themselves. What we do know is when we invest in sales and marketing, we do get a return on that, and we measure that. And that's our LTV to CAC ratio, which is generally north of 6. Most of the execution has been from Billtrust personnel and our own sales and marketing efforts. We have shared that we've got lots of partner -- opportunities that we're pursuing, many of which we've announced over the last 12 months. Those take a little longer to ramp up, but those will start contributing in the second half of this year. So there's no reason why we can't continue to grow our execution and sales and marketing just on the backs of our own team, and we think the partner approach will help turbo-charge that. Getting back to the point around the total addressable market, there is plenty of market to go around. Like we'd love to beat our competition every single time, but that is not required. We win when we win. It is healthy to have competition. They keep us on their toes, but nobody stacks up to our sets of solutions. Nobody has things like the business payments network. Nobody has the capabilities around our digital lockbox or our integrated receivable set. So we're very, very happy with our competitive positioning, but we don't need all of our competitors to go away for us to succeed. We just need to continue to drive sales success and financial success.
Andrew Schmidt: And then, I guess, another question just on visibility. I know that's been a theme here. It seems like you guys have pretty good visibility heading to the back half of the next year. But one of the things when I think about visibility is payment volumes. And clearly, I'm a believer in the secular growth here, and that should continue. But payment volumes are influenced by economic activity. So if you could just maybe discuss what you're seeing at an industry level in terms of customer behavior, whether you've seen any changes? And then what you're baking in for the back half just given the macro uncertainty. Any color there would be helpful.
Flint Lane: Mark, do you want to take a shot at that?
Mark Shifke: Sure. Andrew, we have seen nothing at a macro level that is affecting our models around growth in payment volumes and overall TPV. I think we're seeing clearly the impacts in certain sectors of the economy from interest rate changes and some slowdowns. But overall, it's not affecting our customer base. So we do believe everything we're seeing is a continuation of strong growth. As we get to next year, if next year is a completely different ballgame from where we are today, we'll have to reevaluate things. But we see nothing on the horizon that should be impacting the growth we foresee for the remainder of the year.
Operator: The next question is from Mayank Tandon from Needham.
Mayank Tandon: Flint, I wanted to just maybe if you could dissect the bookings a little bit more in detail, given the strong activity. Did you see any strength in certain markets, specific verticals or the pretty broad-based? Any color around the bookings trends would be helpful.
Flint Lane: The one thing we teased out is we are having success with our new collections platform that we got as part of the iController acquisition back in October. And they had very little success in the U.S. that really weren't focused there, but we've been successful in cross-selling that into our U.S. base. But we have a variety of different sales go-to-market motions. As you know, we sell into our customers quite aggressively. We have a new logo team. We have vertical teams that go after specific verticals. And I wouldn't point to any of them sort of carrying the day. It was strong success across the entire team.
Mayank Tandon: And then I know you're not seeing it right now just given your confidence in your projections. But I think one of the questions we've been getting, of course, is just around churn for our companies. So maybe if you could give us any perspective. Are you seeing any changes there? Has it been pretty stable? What sort of expectations do you have in terms of churn or just retention rates for your customers that's embedded in your guidance?
Flint Lane: Churn is not something Billtrust has ever experienced a lot of. We offer incredibly sticky service, and we drive -- we try really hard to make our customers happy and deliver positive outcomes all the time. We're one of the few SaaS businesses that doesn't have a retention team, as you know. Our contracts just automatically renew each year. And we don't see a lot of churn. -- occasionally, a company will get bought or will go bankrupt and we'll see some churn from that. We don't have a lot of legacy B2C business, which turns a little bit, which turns faster, but there's not a lot of that left. So there's nothing that we would point to that says churn is going to change. It's high 90s in terms of retention already. So there's nothing of concern to us. Mark, anything you want to add to that?
Mark Shifke: No. I think it goes back to your answer to an earlier question and maybe this is also somewhat of a response to Andrew's question as well as this one. In that we recognize that these risks do exist and the market is highly volatile. And so we factor that into how we think about the guide and the extent to which we would raise the upper end of the range versus tightening at the lower end, what we're saying, yes, we feel actually really good about things. But we're not oblivious to the fact that these risks exist. We factored them in as we believe in a prudent manner. And we're -- as Flynn said, and I'm saying, we're not seeing any of that today. But that's how we factored it in.
Operator: The next question is from Sanjay Sakhrani from KBW.
Sanjay Sakhrani: Most of my questions have been asked, but maybe I'll just rephrase some of the questions and see if I could get a better answer. Just -- maybe if we think about the business historically in periods of economic weakness, how does the business behave? Like I mean, how should we think about a choppier macro and how it impacts your business? I understand Flint, you mentioned it accelerates how your customers might think about automation, but what have you seen in the past?
Flint Lane: Yes. Good question. So the -- in the financial crisis in -- at '07, '08, there was a sort of similar dynamic at play where organizations were really not investing aggressively in new solutions because they just were worried about the payback period. We generally don't charge a lot of money for our services. It's a SaaS fee with an ROI measured in months, not years with tons of testimonials from customers that saw those kinds of cost savings, and these are not soft savings, right? And maybe you'll be able to save some money here or there. This is real savings in postage and materials and headcount. In a rising interest rate environment, getting your money faster that to real money that you don't have to take on a credit line or something like that. So we've experienced these kinds of tough financial times, tough macro times. And generally, we do really well. And we've just put up 3 great quarters from a sales and marketing perspective. You can't tease out exactly why that is. Is it about investment? Is it about performance? Is it about macro environment? So it's a little bit about all of those things and plus our ability just to continue to execute on the mission we've set out to do. So we don't root for tough financial times, but tough financial times actually help us in a little bit counter-cyclical in that way.
Sanjay Sakhrani: And then maybe just a follow-up on some of your comments from Tien-Tsin's questions on strategic alternatives. Maybe you can just talk about what's out there in terms of strategic alternatives? Would it be more bolt-on type acquisitions that you'd consider? I mean, obviously, we've seen a pretty significant dislocation in valuations across the board. I mean how should we think about how your playbook has evolved, if anything?
Flint Lane: I think we're looking at things of a variety of sizes. There's obviously far more smaller companies than there are companies of scale. We continue to look for things in and around the office of the CFO that we think would be good to cross-sell into our existing base. And there's plenty of targets out there. It could be geographies where we're not represented. It could be additional solutions around something like sales order automation could be something around merchant acquiring, which would -- could be a good play for the business payments network. But we're roughly 6 months from our last acquisition. And as I said earlier, we're looking at lots of things. I can't share more than that, but this remains a big focus for us.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Flint Lane for any closing remarks.
Flint Lane: Yes. Once again, thank you, everybody, for being interested in the Billtrust story. It's been an interesting year for sure, from a macro perspective, and we continue to focus on driving outstanding results. And I think over the long-term, that's going to be the right strategy. So again, thanks for the interest in Billtrust and look forward to seeing you on the next quarterly call. Take care, everybody.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.